Operator: Good day and welcome to the CommonWealth REIT Third Quarter 2011 Financial Results Conference Call. This call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to, Vice President of Investor Relations, Mr. Tim Bonang. Please go ahead, sir.
Timothy Bonang: Thank you and good afternoon. Joining me on today’s call are Adam Portnoy, President and Managing Trustee, and John Popeo, our Chief Financial Officer. The agenda for today’s conference a presentation by management, followed by a question-and-answer session. I would also note that the recording and retransmission of today’s conference call is strictly prohibited without prior written consent of CommonWealth REIT. Before we begin today’s call, I would like to read our Safe Harbor statement. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on CommonWealth’s present beliefs and expectations as of today, November 2, 2011. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today’s conference call other than through filings with the Securities and Exchange Commission, or SEC, regarding this reporting period. In addition, this call may contain non-GAAP numbers, including funds from operations, or FFO, normalized FFO and cash available for distribution, or CAD. A reconciliation of FFO, normalized FFO and CAD to net income is available in our supplemental package found in the Investor Relations section of the company’s website. Actual results may differ materially from those projected in any forward-looking statements. Additional information concerning factors that could cause those differences is contained in our Form 10-Q, which we expect to file in a few days with the SEC, and in our Q3 supplemental operating and financial data found on our website at www.cwhreit.com. Investors are cautioned that not to place undue reliance upon any forward-looking statements. And now, I would like to turn the call over to Adam Portnoy.
Adam Portnoy: Thank you, Tim. Good afternoon everyone. Let me just start by saying I apologize, to everyone I’m getting over a little bit of chest cold, so I may not sound exactly like myself. And second, I want to thank everyone for accommodating the last minute time change, we had moved the call form one 1 o’clock to 5 o’clock today. For the third quarter of 2011, we are reporting fully diluted normalized FFO of $0.86 per share compared to $0.92 per share, during the same period last year. As of September 30th, our consolidated occupancy rate was 87%, compared to 87.5% at the end of the last quarter. During the quarter, we signed leases for almost 1.9 million square feet. 78% of our third quarter leasing activity were renewals and 22% were new leases. Leasing activity this quarter resulted in a 1% rollup in rents and $15.05 per square foot in capital commitments. The average lease term was 8.1 years and the average capital commitment per lease year, was $1.86. As of September 30, 2011, we currently believe that our consolidated occupancy rate for year-end 2011, maybe at or around 87%. However, because of the challenging leasing market conditions, we expect that same store NOI maybe continue to decline further, until the economy begins to show sustainable growth, and the unemployment rate starts to decline significantly. In October 2011, we declared dividend of $0.50 per share, which represents 52% of our third quarter, normalized FFO. During the quarter, we spent $21 million on tenant improvements and leasing costs and $4.9 million or $0.7 per square foot for recurring building improvements. We generated approximately $42 million of cash available for distribution or CAD during third quarter, resulting in a CAD payout ratio of 86.5%. As most of you know from the last couple of years, we have been aggressively trying to reposition CommonWealth’s portfolio at a high-value CBD office properties. Since the beginning of 2008, CommonWealth has acquired $3.1 billion worth of properties and the majority of these acquisitions have been CBD office properties. We have partially funded these acquisitions with the sale of $1.4 billion of largely suburban office properties and remainder of these acquisitions have been funded through a combination of both debt and equity financings. In the third quarter of 2011, our business strategy is starting to show real results. This is the first quarter where the largest percentage of our consolidated NOI came from CBD office building, representing 41% of consolidated NOI during third quarter. Also this is the second quarter in a row where our CBD office portfolio was the only operating segment which generated positive same-store NOI growth with 5.7% growth in same-store NOI in the third quarter. However during the quarter, our pace of acquisitions has slowed considerably, we have increased our sales activities. Since the time we reported second quarter results, we have sold 13 suburban properties with approximately 1.3 million square feet for an aggregate sale price of $167 million. We also currently have under agreement to sell 16 industrial properties located in Dearborn Michigan, and think to buy 570,000 square feet for $6.5 million. We currently have two downtown office towers located in Chicago and Hartford Connecticut, with a combined 1.9 million square feet under agreement to purchase, with aggregate purchase price of approximately $250 million, including the assumption of $148 million of mortgage debt. Of course the pending sales and acquisitions are subject to customary closing conditions and no assurance can be given that they will occur. Also during the quarter we terminated a previously reported agreement to acquire a property in Portland Oregon with 107,000 square feet for $34.1 million. Before I turn the call over to John Popeo, I want to point out that as of today, we have nothing outstanding on our $750 million revolving credit facility and approximately $100 million of excess cash on hand. This liquidity provided us with the financial flexibility to close on pending acquisitions, as well as fund internal growth in the future. I’ll now turn the call over to John Popeo, our CFO.
John Popeo: Thank you, Adam. Looking first to the income statement, net income available for common shareholders for the third quarter of 2011 was $14.7 million, compared to $53.1 million for the third quarter of 2010. Rental income increased by 23.7%, reflecting rental income from properties acquired since July 2010, offset by the decline in same-store rents and properties sold between June and September 2010. Total expenses increased by 26.6%, primarily reflecting property acquisitions. Current quarter EBITDA increased by13.5%. Interest expense increased by11.8% reflecting property acquisitions. Our percentage share of GOV’s net income and normalized FFO for the third quarter totaled $2.7 million and $5.1 million respectively. We received over $4 million and GOV dividends during the third quarter of 2011. In July 2011, GOV issued $6.5 million new common shares in a public offering for $25.40 per share. As a result of this transaction, our ownership interest in GOV, which reduced from 24.6% to 21.1% and we recognized to gain under the income method of accounting totaling $11.2 million. This gain represents a partial mart-to-market value adjustment under GAAP that reduces the spread between our carrying value and the price of new issued GOV shares. The carrying value of our $9,950 million GOV shares was around $16.82 per share prior to GOV’s recent common equity offering and $17.43 per share as of September 13, 2011. Income from discontinued operations reflects operating results from 43 properties sold in 2010 and 2011 and 27 properties classified as held for sale as of September 30, 2011. In addition, we recognized an impairment loss of $9.2 million reflecting the decline and estimated market value of these 27 properties. In September, we closed on the sale of 13 properties with approximately 1.3 million square feet for $167 million excluding closing costs and recognized gains totaling $7 million. We sold one office property in the prior year with approximately 310,000 square feet for approximately $9.8 million excluding closing costs and solid financing and recognized the gain of $4.6 million. We recognized $22.8 million of gains in the prior year from property sold to GOV during the quarter ended September 30, 2010. Properties sold to GOV are not considered to discontinued operations under GAAP because of our retained activity interest in this former subsidiary. The increase in the preferred distributions reflect distributions on $11million of our 7.25% Series E preferred shares issued in June 2011 offset by the redemption of $7 million of our 8.75% Series B preferred shares in October 2010. Normalized diluted FFO available for common shareholders was $0.86 per share for the third quarter 2011 compared to $0.92 per share for the third quarter of 2010. Year-over-year per share results primarily reflect the decline in occupancy in same-store NOI and the issuance of new common shares in 2010 and 2011. Turning to the balance sheet, on September 30th, we held $211 million of unrestricted cash reflecting proceeds from the $167 million portfolio sale on September 30th. We used these sales proceeds to reduce the $235 million outstanding on our revolving credit facility in early October. Rents receivable includes approximately $182 million of accumulated straight line rent accruals as of September 30th. Other assets include approximately $102 million of capitalized leasing and financing costs. In July, we issued 11.5 million new common shares raising net proceeds of approximately $264 million. We used the net proceeds from these offering to repay amounts outstanding on our revolving credit facility and to fund acquisitions. In July, we pre-paid $23.2 million of 8.05% mortgage debt during 2012. On September 30th, we had $635 million of floating rate debt, $622 million of mortgage debt and $2.3 billion of fixed rate senior unsecured notes outstanding. The weighted average contractual interest rate on all of our debt was around 5.5% at the end of the quarter and the weighted average maturity was around five years. Our senior unsecured notes are rated Baa2 by Moody’s and BBB by Standard & Poor’s. The undepreciated book value of our unencumbered property pool totaled about $7 billion at the end of the quarter. Our secured debt represents 9% of total assets and our floating rate debt represents 18% of total debt. At the end of the third quarter, our ratio of debt to book capitalization was 50%. Our EBITDA and fixed charge coverage ratios were 2.7 times and 2.1 times respectively. As of the end of the quarter, we were comfortably within the requirements of our public debt and revolver covenants. In October 2011, we amended our existing $750 million credit facility to extend the maturity date to October 19, 2015 and reduce the interest rate for LIBOR plus 125 basis points. The amended facility provides us the options to extend the maturity date for one year for October 19, 2016. In October, we also amended our existing unsecured term loan to increase borrowings from $400 million to $557 million. The amended extent term to December 15, 2016 and reduces the rate of interest on $500 million to LIBOR plus 150 basis points. As of September 30th, we had $235 million outstanding on our credit facility. The $157 million of new proceeds from the term loan amended and proceeds from the sale of properties on September 30th were used to reduce the amount outstanding on our credit facility to zero as of today and unrestricted cash balances today amount to approximately $100 million. In summary, despite a very challenging market environment, we continue to make meaningful progress towards repositioning our portfolio to be more heavily weighted to high values CBD properties. Our strong balance sheet, solid annual dividend payout ratio, excess cash and $750 million of availability on our revolving credit facility position us to opportunistically grow cash flow as the economy improves. That concludes our prepared remarks, operator we are now ready to take questions.
Operator: Thank you. (Operator Instructions). Our first question today comes from the line of Mitch Germain with JMP Securities. Please go ahead.
Mitch Germain – JMP Securities: Good afternoon John. Just curious about the update on Portland and the terminated acquisition?
Adam Portnoy: Mitch, this is Adam, it’s just something we found the diligence and we try to reconcile with the seller typically we go due diligence we do a lot of property environmental engineering due to non-disclosure agreement we signed with this seller I can’t tell exactly would happen, I can just tell you that we found something in diligence and we could reconcile it with the seller and therefore we terminated.
Mitch Germain – JMP Securities: And update on Chicago I guess you guys have acquired three properties in that market I know you own several others. Is this the start? Or are you considering additional investments? Or do you think you are full at this point with that market?
Adam Portnoy: Well, we have one more building under agreement in that market.
Mitch Germain – JMP Securities: Yeah, I’ve excluded that one, I’m sorry guys.
Adam Portnoy: Okay. That’s, I think we would look at other opportunities in Chicago, but the question is, as I said in our prepared remarks, our pace of acquisitions has clearly slowed. The amount of things, we’ve under contract now is much smaller and I think, we have had in any quarter when we reported for several quarters now and it’s a combination of – there is a little less product or CBD, what I would tell CBD graded product out in the market, that they have there, has been in the past and there is a lot more competition for that product. So the assurance is yes, we would look at other properties in Chicago. But there is more longer answer which is, I’m not sure of the overall acquisition pace that we are going to have going – I mean short to medium term, simply because of what’s going on in the market generally.
Mitch Germain – JMP Securities: Can you put a figure or either square feet or dollars of what your pipeline is today versus where it was, call it three months ago?
Adam Portnoy: I don’t – I can just tell you it’s a lot smaller. I don’t know how to put a dollar or a square foot to it John, because there is a lot of things we look at very quickly and discard and there are a lot of things we might begin and do a lot of work on and still may not get there or may poise a bid in not get there. But I would say that, we are probably putting one (inaudible) so many bids actually widening bids as we were what say six months ago, so probably that may be a good metrics, how many times we are actually getting to a point where we write a written offer, probably one third of the number of times today as we probably were doing, let’s say, six months ago.
Mitch Germain – JMP Securities: Okay. Thanks so much.
Operator: Our next question comes from the line of Dave Rodgers representing RBC Capital Markets. Please go ahead.
David Rodgers – RBC Capital Markets: Hey Adam, I was wondering you gave some good spread detail on your leases for the quarter, could you break that out or at least give us some sense of the performance between CBD and suburban during the quarter or what you have been seeing?
Adam Portnoy: Well, generally the CBD is stuff is a longer or more expensive, but we are getting more and we are better – we are getting better net effectives. I mean look, the short answer is that in the suburban markets is you don’t have – it’s not landlords market and we have to work a lot harder to get tenants and returns on those deals are much skinner, especially when you’re looking at large square footage tenants in suburban markets. They have enormous amount of – I guess, they have enormous amount of options. We are dealing with smaller, let’s say I don’t know 15,000 square feet, maybe smaller tenants in suburban markets, they really are very focused on their cost, and the cost to move for them is significant and you have a little bit more – I would say little more leverage with them in the sense that they might be telling you that they or they might have a tenant led broker is really pushing them, but the truth is they don’t really want to leave. This is for I would call it sort of smaller to medium sized tenants, and you can often find you don’t have to give away the total score to keep them, but with the largest suburban tenants, they clearly are looking at much more like it’s business decision and they are just trying to get the best deal possible and there the deals are quite skinny whereas in the CBD markets, especially many of the properties we have bought in the last two years, we have enjoyed very good returns, high single digits, low double-digit net effective rates of returns on leases that we are signing up. So, I’m saying that’s the return that you amortize the capital including (inaudible) over the life of the lease. I mean we are getting pretty good deals in most of our CBD office towers that we bought, and I think that’s proving – it’s coming through in the activity numbers, its coming through the same-store NOI numbers. I mean we are able to do better in our CBD office buildings, even in second and third tier markets, we hold top one, two or even third building in the second and third tier market. There is just so many – that’s a many – usually we own one of the best buildings in that market and there is a certain group of tenants in that market, they aren’t going away and they need to stay. They want to be in the best buildings in that market and we tend to be able to charge a little bit of a premium, have a little bit more leverage over those tenants in those situations that we do in most of the suburban markets. So, that gives you a general feel of what’s going on.
David Rodgers – RBC Capital Markets: Okay. And second question – thanks for that color – would be on we’ve clearly seen a good bid for primary CBDs, that’s you’re saying that the bit is getting a little bit stronger it sounds like or offerings lower force secondary CBDs. Is there any decent bid out there for suburban office assets in particular that we could accelerate beyond the $43 million in the held for sale bucket or should we expect to see that slow a bit here in the near term consistent with what you said about acquisition?
John Popeo: There is not a lot of bidders for suburban product, and most of the stuff that’s in our discontinued operations are also either vacant or close to vacant or going to become vacant and there is even less buyers for that type of products. The buyers are typically owner occupiers or owner users for that – for the buildings that we are typically selling or it’s a low player that just had some vision about what’s going to happen that we don’t share basically, and that’s sort of the only buyers for that type of product. I mean if we have let’s say, we have another (inaudible) from the discontinued ops are fully leased, for example, the fully leased suburban office buildings, I think they’re all buyers for – unfortunately there is not many and the price, I believe, that people are willing to pay for suburban office today is so far below the real value of those buildings that it’s just hard to justify selling them at such a discount and so that’s what I think is going on.
David Rodgers – RBC Capital Markets: Thank you.
Adam Portnoy: Yes.
Operator: Next question comes from the line of John Guinee with Stifel Nicolaus. Please go ahead.
John Guinee – Stifel Nicolaus: Hi guys. What’s – well, obviously you want to continue to acquire CBD office. You got a few arrows in the quiver, undrawn credit facility, equity preferred shares, spinning off Hawaii, spinning off the industrial portfolio. What sort of – how do you rank those?
Adam Portnoy: Well, in terms of continuing change of the portfolio composition, how do we do it I think is the question, and I think, in the ranking it’s ultimately hard to look at the equity today to fund your growth because back in July, we just did a deal at 24 bucks and it’s hard to imagine us being able to comfortable raising equity at the levels we’re trading at today when we just raised the equity to $24, and so that’s probably one of the last items on the list. Moving up preferred, you know preferred, unfortunately the pricing – while it’s a market that’s definitely available, I think, to us and to other REITs, the pricing isn’t particularly attractive and it’s not particularly deep market in my personal opinion. And then as you go up the curve, you have unsecured debt. That market, it’s questionable only because nobody in the REIT space has done an unsecured bond deal, I think, since mid-summer and so there is a lot of price discovery that would occur if you went out and try to do an unsecured bond deal, which leads us to probably – the next thing is probably, I guess, the bank market, you could look at bank loans. We already have and we just up to our bank volumes. I am not sure there is much more appetite to put more bank leverage on the company they need to start having to look at asset sales I think we have been doing a little bit of that. And then you talk – you mentioned spinouts I think you should Hawaii or industrial, I mean I suppose we could think about something like that, as you know there is a lot of work that goes into doing something like that. If we could get compelled, we would look at something like that. If we felt – if we could take a group of assets for example that we didn’t think we could get a particularly great value for selling out right today that may be if you could get additional value in the equity markets. And the equity markets might value that group of assets much at a better multiple, better cap rate than your CommonWealth trades today. And if we didn’t sell meaning we kept a large percentage of that entity after we did the spinout, I suppose we could look at doing something like that. But the problem with that strategy is that the IPO market for weeks is pretty tough. So that gets us to how we would keep growing and I think what you are seeing is we are well look at all those options, but at the same time we realize how difficult it is and we have slow down. And so our growth is clearly starting to slow in terms of acquisitions and until we find a way one of the ways you have mentioned John to find value in terms of doing something, that will add that there will be – there isn’t going to destroy shareholder value in the process. We will probably have to take a little bit, of a wait and see, we have some capacity on the revolver with excess cash, so we can do a little bit, well I haven’t to do anything, mean we could just – we could buy $300 million-$400 million more properties if we wanted to, and just leave it on the revolver. So, we do have some runway in front of us, but your question is a good one and I don’t have a specific answer, for you, at this point.
John Guinee – Stifel Nicolaus: I guess second question. Hey John, what do you think your taxable income will be for 2011 and why keep the dividend this high, because you’re clearly not getting credit for?
John Popeo: It’s a good question. I mean currently we’re projecting some level of a return on capital John. As far as the dividend goes, I mean as you know the Board reviews the dividend level every quarter. They’re comfortable with the current level, as we mentioned in our prepared remarks. We’re hoping we can hold the payout ratio, right around 100%. I mean our ultimate goal is to raise the dividend and that should not going to happen any time soon, it’s going to mean a meaningful improvement in the economy and unemployment and occupancy throughout the US. So, but again there’s no dividend cut on the table or M&A at this company at this point
John Guinee – Stifel Nicolaus: Okay, then the last question. The assets that you are selling up in Michigan of 500,0000 square feet or 600,000 square feet of industrial, it looks like those will sell for $11 or $12 a square foot and I think you did the same thing last year with the building, 300,000 square foot building. How many more assets are there like that in the portfolio, which are sort of whether they are office or industrial, they are a sub $20 square foot assets when sold into the marketplace?
John Popeo: I think generally speaking most of the assets held for sale fit that category.
Adam Portnoy: Yeah, I was just going to say the same thing, that’s right.
John Guinee – Stifel Nicolaus: Okay. Thanks.
Operator: Our next question comes from the line of Jamie Feldman with Bank of America/Merrill Lynch. Please go ahead.
Jamie Feldman – Bank of America/Merrill Lynch: Thank you. I was hoping one of you guys could comment on when you think the portfolio might be able to return to generating same store growth?
Adam Portnoy: Jamie, it’s a good question. I wish I could tell you exactly when it was going to happen. I think it depends more on when there is real employment growth. I think we’ve gotten so big and so diverse that it’s largely depended on what’s going on generally in the economy in terms of employment growth and job creation. So until we see some real job creation in this country and real employment growth, I think it’s tough to say that we will see on the overall portfolio meaningful growth in same store results. That’s said, I’m very pleased that we bought the CBD assets that we did buy in the last three years, because if we hadn’t, the results would be a lot worse then we’d be looking at for the company. Those assets, everything we have been buying for the last few years is really lessening the blow to the company and is really where we’re finding any sort of growth in both occupancy and in rents or same store NOI. So that is, that’s really what’s going on, I mean, there are pockets in the company that they are doing quite well, I mean, Austin is a market because of the technology sector is actually doing quite well, Oahu, Hawaii market that continues to do exceptionally well unfortunately didn’t have a lot of leasing activity in the last quarter, but I think we will have some pretty good roll-ups in rents over the next 12 to 18 months in that segment. So, there are definitely pockets within the company, they are doing well, given what’s going on in their specific markets. But generally speaking I think you are going to have to see real employment growth across the – generally across the US before you’re going to start seeing meaningful improvement in same store NOI.
Jamie Feldman – Bank of America/Merrill Lynch: Okay and then following-up on your thoughts on kind of the environment you’re in if you look at the occupancy slippage in the quarter I mean is that more a sign of that’s kind of the environment we are in where occupancy can continue to slip until things get better or was that more kind of lease specific and it’s not really redo for what’s to come.
Adam Portnoy: Yeah, I would like to believe it’s lease specific, I think we are still on track to hold occupancy right around the occupancy this quarter. I don’t where we sit right now have one-third delay through the fourth quarter. I’m expecting that we will come in around where we are right now for occupancy for the end of the year. Of course that could change, but that’s what we currently expect.
Jamie Feldman – Bank of America/Merrill Lynch: Okay and then what are your latest thoughts on given that it sounds like you are tempering your acquisition expectations what are your latest thoughts on Gov shares and that is a source of capital?
Adam Portnoy: It’s an excellent question, let’s say another source, another arrow, and our quarterly return to source of capital we could tap into. It depends a little bit on – we have to think about how we could do that, typically the way we get old shares in the past, than we’ve had shares of affiliate properties and we’ve often waited for those companies to do an equity offering and then we have sold in that equity offering, that doesn’t mean that the only way we could do it, but that’s the way we’ve historically done it with the other companies that we have held shares in the past. We also have to get comfortable with the share price, I – watching GOV share price it’s been a little disappointing for the last couple of months and now it’s gone better little bit lately. But our hope would be, that we think this may not be the best time to be thinking about selling GOV shares as given the share price is well, so that else has to be taken into account. But that said, it’s absolutely something we could consider to raise additional capital, you are right.
Jamie Feldman – Bank of America/Merrill Lynch: I guess, what I’m trying to ask on the last call you guys sounded a little more optimistic about acquisition opportunities and meeting and as a source of capital, on this call you sound a little of your more tempered in terms of what you think you can get done. So is that mean it’s less likely or that hasn’t changed and it’s really more about the share price than anything at this point?
Adam Portnoy: No, I think, you’re correctly picking up on some stuff, January which is that we are little less bullish on the acquisition side. And so I’m not sure we’re going to even need to do something like that. We are not – we may not even need the capital, but you’re also right that what I crazy about the share price either until sort of both things I would say, you’ve picked up on both correctly.
Jamie Feldman – Bank of America/Merrill Lynch: All right. Well, thank you.
Adam Portnoy: Thanks, Jamie.
Operator: Our next question comes from the line of Michael Aryan with Sun Life Financial. Please go ahead.
Michael Aryan – Sun Life Financial: Yeah, my question is partially answered by the last question, but just in regards to occupancies and the decline, I know you said it was lease specific, but any part of that due to trying to push rates?
Adam Portnoy: No. It’s no – it’s not specifically because we are trying to push rates. Generally the loss – for the bigger leases, which go through a very competitive RFP process, we are typically very close. If we lose the process, we were typically very close to the winning bids lease rate or effective rents. It’s really at that point comes down to the tenant’s preference for location, really what drives it at that point. I would tell you that where we do, it’s very rarely we lose a lease purely over economics. It does happen occasionally on smaller lease deals, because in the smaller lease deals as I was talking about before, some of the smaller tenants, they might have a very aggressive tenant rep, but at the end of the day there is not a lot of enthusiasm for moving from the owners and we find it nine times out of ten we can hold the line, but every once in a while one time out of ten, we might pick wrong and we might lose that lease over the rate, but those usually are smaller leases where we play that game. It’s very rare that we play that game with the bigger leases.
Michael Aryan – Sun Life Financial: Okay. All right. Thanks.
Operator: (Operator Instructions). We do have a follow up question from Mitch Germain of JMP Securities. Please go ahead.
Mitch Germain – JMP Securities: I am sorry, guys, it was answered. Thanks.
Operator: There are no other questions queuing up. I will turn the call back over to Mr. Portnoy for closing remarks.
Adam Portnoy: Thank you all for joining us on our third quarter conference call. We look forward to seeing many of you at the NAREIT conference at Dallas later this month. Thank you.